Kim Jun-Hyung: Good afternoon. Thank you for joining us at POSCO Holdings Earnings Call. We will have a presentation from POSCO Holdings followed by a Q&A session with the participants. [Operator Instructions] We will now begin the POSCO Holdings 2024 Earnings Call. Greetings, everyone. I'm the Head of Finance and IR Division at POSCO Holdings. My name is Kim Jun-Hyung. I'd like to begin by expressing my profound gratitude to the investors who offer unwavering attention and support to our business. Thank you. In 2024, various internal and external challenges impacted our business, resulting in consolidated account revenue of KRW72.7 trillion and operating profit of KRW2.2 trillion both of which declined against the previous year. In steel, China's oversupply and its construction industry in a recession pushed the excess volume to exports, causing steel price in Asia to remain suppressed. We also feel limited in our ability to improve mill margin. In Energy Materials, given the slow EV market growth rate, essential minerals prices have tumbled. This led to inventory value impairment that have adversely impacted our earnings performance. Especially notable last year has been the successful completion of Q4 -- in Q4 of various EV battery materials plants, including POSCO Argentina, [PPOS] (ph) and POSCO Lithium Solution. However, high initial operation costs during the ramp up stage of new plants on top of inevitably low plant operation rate during product certification have led to larger shortfalls. Despite these steel business cycle headwinds in the region based on our value add steel products, POSCO Group has been able to maintain relatively stable profits. In addition, we are making steady progress on our core strategies such as in our plans to invest in abroad and to build electric furnaces. In the Energy Materials business, we were successful in building a system within 2024 capable of producing essential minerals such as lithium and cathode active materials. This carries remarkable meaning and proves our clear progress made in business. Surely, given the challenges faced in the rechargeable battery industry, we will also adjust in speed and calibrate. However, compared to competition, we have sound financials that make us fit to seize new opportunities. This is what we will prepare in a thorough and steady fashion. Also beginning early last year, POSCO Group has taken the initiative to restructure low performing businesses and non-essential assets in our effort to enhance asset efficiency. Low profit real estate and simple equity shares have been sold. Through these restructuring efforts, KRW662.5 billion cash has been generated, KRW100 billion of that cash will be used to buy back and retired treasury shares. I would like to remind our investors that we face higher trade barriers around the world, while EV market growth continues to slow. It is no secret that the business environment in 2025 will continue to be rough. Hence, we will focus the group's energy in sustaining strong profits. In Steel, we intend to drive explicit progress in overseas growth market investments and in achieving carbon neutrality. Also by enhancing facility capacity and efficiency, we'll focus on sustaining price competitiveness. In the Energy Materials business, we'll be proactive to acquire quality lithium assets in South America and Australia. At the same time, our goal is to achieve ramp up of our new plants ahead of schedule. In the infrastructure business, we will continue to invest in Australia and Myanmar to expand our production capacity, while adding to the domestic LNG terminal space, as a means to focus on strengthening our energy business foundation. Additionally, we would like to focus on stabilizing our business to the greatest extent possible. In addition, by completing our restructuring goals within the year, we'll improve our asset efficiency. With the cash generated from this effort, it will help to finance the group's future growth investments. Now allow me to introduce our IR department leader. She will share more detail on the 2024 earnings.
Unidentified Company Representative: Good afternoon. I will now present the 2024 yearly and fourth quarter earnings. Please refer to Page 4. As for the yearly revenue, recorded KRW 72.7trillion, operating profit of KRW2.2 trillion. EBITDA for the year was KRW6.1 trillion and yearly CapEx amounted to KRW9 trillion, with KRW1 trillion on a stand-alone basis. Q4 operating profit came in particularly weak at KRW95 billion. Amidst the ongoing market downturn in both steel and battery materials, new secondary battery plants were commissioned in many numbers with initial operation costs accounted for and there were also one-off cost increases in the steel business including labor costs that were reflecting the December wage negotiation results. So if you look at the business segments, still operating profit declined 35% Y-o-Y, POSCO’s OP margin dropped by 3.9% with 29% Y-o-Y decrease in profit. As for overseas steel, despite the good performance of the Indian subsidiary due to weak performance in Indonesia, Vietnam and other Southeast Asia subsidiaries, profit decline was significant. As for Energy Materials, the business recorded KRW278 billion losses with the deficit widening further. POSCO Future M fell into the red in Q4, mainly due to high initial costs at newly commissioned plants. Now infrastructure. Operating profit declined 14% Y-o-Y. This was because as POSCO E&C completed large scale plant projects both domestically in Samcheok and overseas in Malaysia, additional costs were accounted for. Now if you look at the performance in Q4, return to a net loss of KRW703 billion. This was primarily because in the fourth quarter alone, KRW1.3 trillion in non-cash expenses including asset impairment losses were accounted for. Let me elaborate further on the next page. Now looking at the non-operating losses, we recognized asset impairment losses of KRW1 trillion in Q4 and KRW1.2 trillion for the full year. These can be divided into three categories of asset impairment losses. First is the steel business. In Q4, we suspended operations of outdated low efficiency assets like Pohang Steelmaking Line 1 and Wire Rod Mill 1, accounting for the impairment losses for these assets. Second, we accounted for the impairment losses of certain aging and low profit assets of the battery business, including the Gumi Cathode Materials plant and precursor JV in China. Third, as part of our ongoing business restructuring efforts since the beginning of this year, we proactively recognized impairment losses on assets marked for sale. So let me give you an example. Vietnam's Mong Duong coal fire power plant, which does not align actually with our ESG policies, is currently being sold. So all of this has been accounted for proactively. As for the operating profit, inventory valuation losses of KRW88.2 billion for the full year had an impact. You can see that the newly commissioned battery material plants in 2024 that is POSCO Pilbara Lithium Solution and Argentina subsidiary saw significant inventory valuation losses. Now moving on to Page 6. Despite adverse business circumstances, we made some notable progress in 2024. To respond to the formation of economic blocks in steel, we are pursuing a JV Upstream investment in India with JSW. Additionally, low carbon steel is progressing evidenced by investments in electrical furnaces and the initial tapping on the pilot electric smelter facility, which is a milestone in our low carbon technology development. In Energy Materials, we celebrated year one of lithium production by completing hard rock and brine based lithium plants in Korea and overseas. Initial production has been successful. At year end, next generation silicon anode active materials plant also came online. In cathode active materials, we expanded lines for NCA production. In infrastructure, offshore gas field Phase 3 commercial production was launched in Myanmar. At the same time, Phase 4 expansion kicked-off construction. In Australia, we added Velocity to the new Senex development project to triple production. Next on Slide 7. Here we offer the latest updates on the Energy Materials business. Our paramount focus at the moment is to stabilize operation at our new plants and to build on associated technology developments. Argentina Phase 1 brine lithium plant was commissioned at the end of last year. Our goal is to complete ramp up by second quarter this year and to acquire battery maker certification by the fourth quarter. Lithium carbonate production is Phase 2 of this project, a project that is shooting for completion by August. POSCO Pilbara Lithium Solution Plant 1 or PPLS Plant 1 has reached full ramp up as of second half of 2024. So POSCO Future and product certifications have been completed and two other battery makers are ramping up their certifications. As a result, in fourth quarter, we have been negotiating contracts. So we signed a supply agreement with SK ON for 15,000 tons over 3 years and with Future M for 20,000 tons in 2025. With these two contracts alone, we have orders worth 25,000 tons per year, which surpasses the capacity of Plant 1, which stands at [21,500] (ph) tons. So again, with just these two orders alone, we exceed the capacity of Plant 1. Besides these two agreements, our search and supply agreements are in negotiations. Plant 2 completed construction at the end of last year, because this plant uses a different process, a separate certification process is underway. We expect certifications to be acquired from POSCO Future M by June and from two other battery makers and CAM manufacturers by September. POSCO HY Clean Metal is our recycling plant, whose operation rate is 95% or above. Recovery ratio is very favorable as well. So with this kind of ramp up and stabilization, stable operations are helping to shave-off losses. Because of this kind of progress and because we completed construction of Plant Phase 2 and the plant in POSCO Argentina, as these plants ramp up and as we prepare for other new plants on a short-term basis, it's difficult to say that we'll be able to shift to black ink anytime soon. But because things are happening without any snags, I believe a medium-term recovery into black ink is very possible. HY Clean Metal will be able to shave up most of its losses by next year. That is our hope and plan. And within the next two years to three years, I believe we'll be able to see a lot of stabilization happening in many of the other plants as well. Recently, we've seen a lot of policy shifts and policy changes in various countries, but because the U.S. Policy shift has not become specific, we are going to be focusing on select strengths. So strengthen our core competence, while reducing less competitors businesses. And as a result, we've taken significant interest in acquiring quality assets. So we're looking not only at Salt Lake in Latin America, but also an additional hard rock lithium development projects in Australia, where we have signed an MoU with Hancock. On certain projects where price structure is weak or markets are overly sensitive, we seek to rebalance our strategy by pulling out or postponing investments. To offer examples, P&O Chemical shares have been sold-off, precursor nickel JV between Future M and [YU] (ph) have been canceled. A decision was made to postpone our JV investment in precursors with CNGR 2. Next is Slide 8 on our restructuring progress. In 2024, POSCO Group dissolved 45 assets, renumerating KRW662.5 billion. This year, we will liquidate another 61 assets to generate additional cash of KRW1.5 trillion. By turning down low profit non-operation assets, we intend to focus on improving our assets efficiency. Next, let's delve into the performance of each affiliated company. First Page 9 is POSCO. POSCO's crude steel production for Q4 was slightly down from the previous quarter, it stood at the full year of 35.47 million tons. And in 2025, the total crude steel output is expected to remain flat or slightly lower because of the number No. 3 Finex fire and partial refurbishment at Pohang No. 2 furnace. Originally, the 3 Finex facility was scheduled for refurbishment in 2026, but due to the last year's fire, we decided to accelerate the process aiming for completion by September this year. [None of] (ph) the selling prices, which saw a slight rebound in Q2 last year, dropped another 5% in Q4 compared to Q3, but the production cost declined even more significantly, leading to a slight recovery in mill margins, so Q-on-Q. But despite all that, the overall profitability declined because of higher energy costs due to rising power rates and the rising labor costs I mentioned before. Now as exchange rate hike has pushed up import sale prices in Q1 2025, price increases may be possible for certain clients with high dependence on imported steel, but as the depreciation of the Korean won will impact cost with a time lag, cost pressures are also expected to increase. So given this that currently we're at the bottom of the market situation, from a conservative view of things, we believe that an immediate or significant expansion of operating profit in Q1 may be somewhat challenging. But there are some notable developments including import quota of countries and several policy shifts in China Steel industry announced last year. We will continue to monitor that and continue to cut costs and enhance our product mix. Now page 12. As for the overseas sale business, despite stable profitability in the Indian subsidiary, due to deteriorating performance in [Southeast Asian] (ph) subsidiaries with intensifying competition due to exports of Chinese, Japanese and Korean filmmakers to overall profit decline. But with aggressive cost cutting, we are targeting a profitable recovery in 2025. Now POSCO Future M. Revenue declined 22% Y-o-Y with profits nearing to breakeven levels and the company fell into the red in Q4. While high nickel cathode material sales increased, this offset the sharp decline in mid nickel sales, resulting in only a slight Y-o-Y increase in total cathode material sales. But due to the falling mineral prices and the cathode material revenue fell 30% Y-o-Y. For anode materials, the deferral of FEOC in the U. S. was confirmed in May 2024, which led to sales volume falling below BP and additionally with artificial graphite mass production starting from last year, fixed costs increased contributing to operating losses. So in 2025 as we complete the ramp up with a new high nickel clients and move into full scale mass production and sales, we expect cathode material sales to grow by more than 30% compared to 2024. Now POSCO International, while profits from steel trading declined, steady earnings in the energy sector helped maintain overall operating profit. However, in Q4, the stabilization of natural gas and oil prices led to a drop in S&P, causing a significant Y-o-Y decline in profit. Now POSCO E&C. After maintaining stable operating profit, Q4 turned into a loss due to additional cost, including delayed penalties on the commissioned Malaysia LNG power project. However, we expect profitability to improve in 2025. This concludes the business performance presentation for POSCO Holdings. We'll now move on to the Q&A session.
A - Kim Jun-Hyung : Let us begin the Q&A. [Operator Instructions] The first question comes from Hyundai Motors Insurance, Mr. Park.
Park Hyun-Wook: Hello. My name is Park Hyun-Wook. Thank you very much for the opportunity to ask this question. I have three questions. The first is about the steel industry market situation. Because of the real estate market slowdown in China as well as, the inauguration of Trump 2.0, there are many uncertainties. So how does POSCO Group see the market this year? In addition, Chairman, Chang in his New Year's address promised innovation in price competitiveness. So how will this happen? In what area of your steel business? I'd like some elaboration on the approach as well as the areas in which the innovation will occur. And there's been foreign exchange rate hike and POSCO and POSCO Group are likely to either benefit or be disadvantaged from the FX hike. So I would like to know in detail how this will break down across the group. And on steel products, hot rolled coil products as well. There are some countervailing taxes and tariffs that are being imposed. So how will POSCO Group react to this? And in specific for electrodes, there's a lot to be gained in this market. So how do you intend to advance in this market? Will you be maybe spinning off this business or will you be absorbing that in your existing business structure?
Kim Jun-Hyung: So I'd like to ask Mr. [indiscernible], Head of Marketing at POSCO to answer that first question.
Unidentified Company Representative : Regarding the industry outlook, market outlook, regardless of which experts we consult, they don't have a clear prospects. There is a lot of uncertainties regarding the Trump administration. So they all agree that there will be a weak hold on the current status in the market. What's the policies of the Trump administration becomes more clear and once we can find some stability in the market, we'll be able to say more. But for now, we are just monitoring this situation. But one thing that we are assessing is the fact that the fuel market is so slow is because of China. And because of the consumer trade-in policy that has been promoted by the Chinese government, this is one of their stimulus policies. There are various financial measures and easing of financial measures that the Chinese government is releasing. And I think this is going to have a positive impact on the steel industry, at least we hope. As the market tightens, regulations in China are also becoming stronger. And so due to these stimulus packages, as well as strengthening of its market, we hope that the market will recover a little bit in the second half of this year.
Kim Jun-Hyung : And the next question will be answered by Mr. [indiscernible], Head of Finance Office at POSCO.
Unidentified Company Representative : So let me talk about how we intend to innovate price competitiveness. In our assessment, there are a lot of fixed costs in our production cost, and that takes a big part of our cost structure. From 2024 we have been making significant efforts to reduce this fixed cost. So this is what we've been focused on. As for specific measures, first of all, we will focus on the use of raw materials to reduce that amount. And we will try and purchase less expenses, raw materials, but squeeze out the same quality, of course. And one of the measures in this equation is on the fuel cost as well, reduction of fuel costs. And because maintenance cost is also quite high. These are some of the areas where we can try to reduce the total volume and energy costs have been rising significantly. So what we can do here is to enhance efficiency. That means enhancing facility efficiency. So this is what we are also focused on. And although this may not be production cost per se, there's also sales costs. So the raw materials costs that have increased. We want to be able to absorb some of that in the sales cost. And so we have created projects to focus on these specific items, and once all of these different pieces come together, we hope to be able to have something that is more systematic in terms of how we approach the cutting of production costs. So this is what we are engaged in and what we name cost innovation, and we are still exploring new ways to cut costs.
Kim Jun-Hyung : Next is about FX. And we'd like to ask Jinnyoung Yoo, Head of Finance and Trade to answer this question.
Yoo Jinnyoung: FX impact, let me address this by company. For POSCO, this is going to be a disadvantage. When FX hikes because -- although this is going to increase revenue and sales, because the import most of our raw materials from abroad, which is purchased using dollars, this acts as a disadvantage. But to state this off to offset this impact, we want to focus on value-added products so that we can improve the cost structure. So the impact of FX for POSCO, we want to be able to absorb this as much as possible through value-added products that will include HR products, as well as other premium products. Next, for POSCO International. High FX signified positive impact on revenues and operating income on short-term projects and trading business, export margins will expand, while profits will rise in energy, specifically in Myanmar Gas Field and LNG Power businesses. However, excessive cost hikes in steel and chemical products can lead to shrinking exports and sales as well. Hence, we must react with agility to the changing market environment. In POSCO E&C because domestic construction business comprises of a large share of our projects, FX impact is not likely to be significant. In POSCO DX, most of the revenues generate from domestic industries. So adequate margins are guaranteed in DX projects. Therefore, impact is not likely to be huge. In POSCO Argentina and POSCO Future M, because most of the volume is dedicated to exports, FX hikes are likely to have a positive impact on revenue and sales. Next is on trade affairs. So additional trade [remedies] (ph) are not being evaluated, but we are monitoring unfair trade practices for any low cost products that are flooding our markets and not playing by the rules, we will definitely consider invoking trade remedies. But we represent the Korean steel industry. We are more focused on stabilizing the economy and the market. So we take into consideration many variables before we take action. That is our position. Next is on the electrode rods. So this is something that is as attractive as the rechargeable battery materials business. And there is no domestic manufacturer. So POSCO has both the captive market as well as other markets that demand electrodes. So sales is likely to be very profitable and stable. And needle cokes are things that we produce ourselves, which is a raw material of electrodes. And so we have the full value chain in control. And so this is why we have assessed this business and researched this business in great detail and we participated in national projects as well. But we have not initiated the business just yet. The reason being because there is surplus production in China. And so even in Japan, they are seeing their market share shrinking because of Chinese manufacturers. So this requires high temperature that needs to be maintained at a consistent rate. And because of the power demand required in this business that we have not initiated business yet, but something that we can definitely jump into as soon as we see a market opportunity. And listing options, we don't have a company incorporated for the purpose of manufacturing electrodes. So I'm not sure I understood the question correctly. But if this is what you meant, this is something that we are considering with Mitsubishi, and we may, if we incorporate to list this company as well. And this is something that we will negotiate going forward.
Kim Jun-Hyung: Next question, please.
Operator: Next question will be from Kim Yoon Sang of iM Securities.
Kim Yoon Sang: Hello, I'm Kim Yoon Sang from iM Securities. I would like to ask four questions. First question is about on-off losses. I would like to know if there could be additional one-off losses in the future, especially this year. You have a lot of restructuring goals, so you have cash coming in, but it is highly likely I would like to know if there is an additional accounting for the losses in your books. And regard you -- I would like to know about your business plans for each segment for 2025 as for the strategic direction. And I would like to also know about the strategic direction for the secondary battery materials and also bio materials, including the EBITDA margin? Will there be any changes with regards to that? And the third question is regarding CapEx for 2025. So there is the steel and also the secondary materials CapEx. Do you have any guidance on that? And when it comes to the EV market, there are a lot of volatility. So I would like to know if you have any guideline with regards to the capacity expansion for the secondary battery materials? Will there be any strategic direction changes occurring for 2025? And the last question is with the inauguration of Trump administration, I'd like to ask a question about the steel or the market in the North America. So there'll be 25% additional tariffs on Mexico imposed by the U. S. So of course, we export to ex-Mexico, but some of that is also exported to the U.S. As well. So I would like to know what kind of impact all of these tariffs would have on POSCO. And with regards to the upstreaming in the U.S., I heard that you have some plans for that. So I would like to know any update on the progress of the upstreaming business penetration in the U.S. With regards of course, there will be some advantages in terms of localization, but there are also ramp ups going up in the Americas as well and this could pose as a concern for you. So I would like to know if you have any updates on that matter.
Operator: Now regarding the one-off expenses. Mr. Kim Jun-Hyung, Head of Finance will give the answer.
Kim Jun-Hyung: So as you may well know, the one off expenses as it was mentioned in the presentation as well, regarding the asset impairment losses, there are about KRW1.2 trillion and about the asset valuation losses, KRW89 billion. So I think the question was whether we will have additional one-off expenses in the future. So there is a possibility subject to market conditions as well as the restructuring, but we believe that the impairment losses that should be accounted for have not been identified as of now. Regarding question number two and three, regarding the business plan, as well as the operating profit guidelines, we do not yet have the approval of the Board. So we cannot share everything. But the basic direction is that in 2025, the operating profit will be slightly better than 2024. So slightly better, this means is that the lithium prices and the steel prices, all of that are not taken into account. So -- and we do not take into account any specific anti-dumping issues. So even though the current market situation holds, we expect that we'll be able to achieve a slightly higher OP. But as for the Energy Materials business, as it was mentioned before, the new plants were established last year and commissioned this year. And we do not believe that there's going to be significant increase in profits. So Future M is a different story, but I'm talking about the newly established plants or newly established subsidiary. So overall speaking, so in 2025, the operating profit will be better than 2024, but we do not expect a significant expansion of the profits. As for the CapEx, last year we spent KRW9 trillion. We believe that CapEx will be reduced slightly this year, because the secondary materials CapEx will also be smaller than last year, but it will not be that big of a reduction because there is going to be continued investment in lithium. So – but the CapEx will be slightly lower than last year and we will continue to execute the CapEx. Now regarding the investment, I would like to add some comments. So the group's perspective is that as for the new business investment, including the secondary materials will be continued, but we will select and focus in order to improve the quality of our investments. Now there was a question about the steel market in North America. So Mr. Hung, our Head of the Marketing Strategy will give the answer.
Unidentified Company Representative: Yes, [2025] (ph) tariffs imposed on Mexican products or products that are exported through Mexico will be implemented, but I think that we have to continue to closely monitor the developments. So there are products that go through Mexico to the U. S. About 100,000 ton. So that is not very much. It only represents about 0.01% of the sales -- overall sales. And Mexico and the U.S., if you look at their trade relations, actually the goods that we export to Mexico are 100% coated products, coated goods. And the coated goods from Mexico to U.S. is about 580,000 actually from us to Mexico is from -- 580,000 to from Mexico to U. S. To U.S. To Mexico, 480,000. So you can say that within -- it will provide maybe a better condition for us to send goods to Mexico and sell goods to Mexico. And in the worst of all cases, there could be the end product or end vehicles that are sent from Mexico to the U.S. There are about 250,000 vehicles that are concerned. And of course that could lead to increased consumer prices for the U.S. Consumers. So I don't know how much that additional cost will be transferred to the consumer prices, but we believe and we expect that there will not be a drastic decrease of sales on our part. Now regarding the upstream project consideration in the U.S., as you said in your presentation, yes, there will be high additional investment costs involved and the volatility is high. So we're currently looking into many different options. Thank you. Next question?
Operator: Next is from Daishin Securities, Mr. Lee Tae-Hwan. Please ask your question.
Lee Tae-Hwan: My name is Lee Tae-Hwan. Thank you for giving me this opportunity. Previous people asked questions have satisfied some of my desires as well. So I'll ask one more. How's the future end turn to red ink in fourth quarter? And looking into the specifics, we can see certain areas that suffered more than others. So in adjusting the production cost, was this already accounted for or did this hit a certain aspect of the project? In POSCO Argentina, you started recording some revenues and you are recording losses. At which point will you be able to shift to black ink at POSCO Argentina? Those are my questions.
Operator: For this question, I'd like to ask Mr. [indiscernible], Infrastructure Business Department Lead.
Unidentified Company Representative: At POSCO E&C, the deficits are more ascribable to the plant projects rather than building construction. In construction, it was not significantly impacted. In adjusting the prices, were you able to account for these changes? Or was this after the fact? I think that was the question. In plant projects, the Malaysia LNG power plant construction suffered from LD issue, and so that's where the impairment was. So if you ask were there specific issues, we want to make sure that these specific issues don't happen and we are making every effort to make sure that they don't happen again. But yes, let me summarize. This is an issue that came up in one project alone. So this will disappear next year.
Operator: And on the second question, we will ask [indiscernible], Head of Energy Materials Business Department.
Unidentified Company Representative: The plant has to operate first before we can generate some profits. When we look at our investments, HY Clean Metal has hit about 90% operation rate. And so based on cash cost, we believe that they will turn a profit this year. So operation rate is very important. In the lithium business rather than the plant operation rate, materials cost is more important. At the current materials cost, no company will be able to turn a profit. Even the miners in Australia are suffering from large deficits. So the prices have to come up first and plant operation at POSCO Argentina has to be 80% or higher before we can start hitting, black ink. So I think that's going to be next year. Next question please.
Operator: Next question will be from [indiscernible] DB Financial Investment.
Unidentified Analyst: Can you hear me?
Unidentified Company Representative: Yes, we do.
Unidentified Analyst: I am [indiscernible] from DB Financial Investment. So I would like to ask a question about the shareholder return that you presented in December. So the ROIC as well as revenue growth targets were mentioned during the presentation. As for the revenue target, I would like to know what will be the contribution by each business segment to achieve that goal? And regarding the ROIC, I think the ROIC is the key. So you are now currently restructuring the underperforming assets. But not only that, each business division should also see improved profitability. So when it comes to the steel, you mentioned about some innovative cost restructuring. And as for the electric furnace, when that comes alive, there could be limitations and I think that we have to see more improved profitability from other business segments. So can you give us the overall picture of how you're going to meet the ROIC target?
Operator: Now Mr. [indiscernible] of the Business Strategy will give the answer.
Unidentified Company Representative: Now I would like to give you the mid to long-term or mid-term for the revenue growth. It could be divided into three. So first is the steel infrastructure. So now we have to complete and commission the ongoing on plants and to seek mid-term revenue growth by doing so. So for example, as for steel, the EAC at Kwangyang will be completed in 2026 and CGR in 2027. As for the infrastructure, the Senex E&P, we will ramp up. And in the mid-stream, the Kwangyang LNG terminal number 7 and 8 will go through a ramp up in 2026. So all of these will contribute to increased revenue. And the second category is the energy materials. So there is the ongoing plants at our subsidiaries that was mentioned. So we will continue with the ramp up. So it is very important to accelerate the stabilization of the production system and the structure. We have to secure additional new materials and new resources so that we can drive revenue at the mid-term level. Now third, category is aligned with our group strategy to promote new businesses for the future. So in the mid-level – mid-term level, we are going to achieve KRW1 trillion revenue in these new businesses. Now the second question was regarding the ROIC improvement. We said that our target was 6% to 9%, during our value update. And as you mentioned in your presentation, yes, we have to improve the efficiency of our assets and that is why we are rebalancing or restructuring underperforming assets. But with the proceeds, we will reinvest them into the growth of our company or group. So as for the invested assets, we want to optimize that. And when it comes to the returns, we can see two factors. First of all, in the steel business, we want to go for a cost restructuring or cost innovation amounting to KRW1 trillion and we want to enhance leadership centering on high end products, so that we can seek our competitiveness and at the same time drive profitability. And second is in the Energy Materials sector, we want to stabilize our operations at the maximum. So we through these efforts, we want to respond to the demand in the [EV CASM] (ph) situation. So regarding the revenue growth, the steel and energy materials, we're thinking about a low single digit. And as for the energy, we have the CAGR 40% increase or more. And what is the relationship between ROIC? As for the secondary material, so we have made investments and we are not getting any revenue or profit yet. So that could have an impact on the asset turnover on our assets. So with everything combined as I said by Mr. [Cheo] (ph), our ROIC improve will improve the asset turnover, as well as the operating profit and naturally the ROIC will go up and the steel margin is currently abnormal and the secondary battery material in terms of the investment phase is now -- will now turn into the profitable stage in the next two to three years. We have a firm conviction and that is why we are sharing with you these targets. If there are additional price increase, then there could be upside as well compared to this very much conservative view of the shareholder return.
Operator: Next is from [DB Bank, Yi Yong Yang] (ph).
Unidentified Analyst: Thank you. I have a slightly different question in mind. First, POSCO International and Samcheok coal fired power plants. The Samcheok plant perhaps went into operation last year or perhaps it was imminent. In any case, it's about ready to begin operation. So what kind of impact does it have on the operating profit and on your overall performance? And I know that, POSCO Group reduced its equity shares in this power plant. So what is your strategy on this project? I know that a lot of CapEx was expended on this project. And are there any impairments that have hit the books on this project? If they haven't hit your books yet, should we anticipate any losses or impairments that will hit your books in the future? What are some of the impacts that we should anticipate in the future? And the steel market is very challenging. I am very surprised that POSCO was able to turn a profit. But from a short-term perspective, for example, in the first quarter that you were expecting some improvements in cost structure that will turn a profit as well. So can we expect an improvement over the previous quarter? So what are some of the short-term profit expectations? It's surprising to see that you're generating any kind of profit in the business under these market circumstances. And in the fourth quarter, I know that you elaborated on this already. POSCO International generated an operating profit, but why did it turn into a loss in the fourth quarter? And among the steel products, what are some of the products that are generating negative profits in your steel products that is?
Operator: First, on the second question about the steel market situation, we will ask [indiscernible], Head of the Marketing Department at POSCO Marketing Office, sorry.
Unidentified Company Representative: So the steel market situation, everybody knows that it's not bright. But compared to our competition, yes, we have made some performance. The reason being because of the downstream process facilities that have been able to generate some profit. I think they've served as a main axis. It is in the automotive industry. And because there we have a lot of formula agreements, formula based agreements that is how we've turned a profit, but we are negotiating these contracts renegotiating these contracts. In the domestic market as well, for our domestic customers, because foreign exchange hikes the cost that we incur there is absorbed in customer prices, because we are making products based on raw materials that were purchased with the foreign exchange hikes, we believe that, profit wise, the fourth quarter of last year is going to be the lowest point. And that's why we think there will be an improvement over the last quarter. Again, we believe that the lowest profit point was hit already last -- in the last quarter. I think there is another question. Are there any products that are generating negative profits? It is quite variable by product, so it's difficult to pinpoint, which ones are profitable, which ones are not. But wire rods are negative and automotive and stainless products are relatively profitable. Next is on POSCO International and Samcheok Power Plant. Let's ask Mr. [indiscernible], Infrastructure Business Department Head.
Unidentified Company Representative: I will respond to that question. Samcheok Power Plant has completed construction. It is in operation. It is not in deficit. However, the cost that went into building this plant is in the books. So how is this going to impact the overall group performance and how will it be improved in the future? I think that was just of your question. It's in operation, but the complete phase construction is not over. So there are some electricals and electrical transmission works that need to be completed in the next one or two years. And some of that remains a little bit ambiguous. So it is difficult to speak about the future of this project. But from a carbon neutrality perspective and to align with our carbon net zero strategy, we intend to reduce our shares further in this project. POSCO International's fourth quarter performance, I'm not sure that I understand the question fully. The reason it turned -- recorded a deficit in the fourth quarter at POSCO International is, I believe, because there was asset impairment involved. I would like to check on this before I respond to you. So Mongduoung power plant in Vietnam, this is also this also enters the POSCO International accounts. So Mongduoung plant in Vietnam and the Hotel in Myanmar, these are some tens of billions of one that hit the books and were recognized in the accounts. I think if I can elaborate on the Mongduoung project, we agreed to sell this in 2021, but we are awaiting government approval on this sale. And we are receiving dividends on this project. And because we have to pay this back, that has been entered into the books and that's what recorded the deficit. And on the Samcheok coal fired power plant, we have no official statement to give at the moment. But based on some of the recent progress that we've made on coal fired power plants, what is our group's position and our stance, I think that has been very clear. So that's why we'll take the next question now.
Operator: Next question will be from [Yu Jin Lee from Yu Jin Securities] (ph).
Unidentified Analyst: I'm Yu Jin Lee from Yu Jin Securities. I have three questions. Last year -- at the end of last year, China said that it's going to impose -- import quota on the U.S. regarding the battery. And after the Lithium Project #1, I know that it's also in partnership with China. So I would like to know how things are going to evolve in the future regarding this matter? And the second is regarding the electric steel plate import. So as for India as well as China, they are manufacturing a lot of electric steel plate. I know that they are very good, but I would like to know if that would have an impact on our profitability. And the third is regarding the steel plates. So if there is an AD filing again regarding steel plates, I think that there could be a room for us to increase our prices. I would like to know about the price negotiations ongoing with the shipbuilding sector. And I would like to -- I also know that there are some bonded areas for the shipbuilding as well that they do not pay taxes. So can you elaborate a little bit on that as well? Regarding the battery materials, so Mr. [Lee Jae Yong] (ph) from the Energy Materials business is going to give the answer. And regarding the second and the third, Mr. Hong from Marketing Strategy will give the answer.
Unidentified Company Representative: So regarding lithium, China is not really the main player with regards to lithium going to the U. S. Because there is Chile and Argentina that are sufficiently meeting the demand of the U.S. So when it comes to the lithium and export control on lithium, it is not the impact is going to be minimal. But what is important is nickel and graphite. Are we going to regulate only the companies that are based in China or Chinese companies? It's very much a different story. For example, if China actually regulates the companies that are abroad, the nickel companies and the anode companies cannot export, so that could be a problem. But regarding this matter, the [AOC] (ph) regulations are not fully defined yet, so I think that it is too early to make any assumptions. Regarding the electric plates, steel plate operating profit, there are different types of electric plates. So there is a dual product that goes into transmitters, or converters, but there is also another type that is used for the EV vehicles. So compared to other carbon sales, they show higher profitability. But the thing is that when it comes to anode product, if we cannot only use it for the EVs or the vehicles. So as for the other types because of the oversupply from the China, the profitability is very low. So all of these three different types show different levels of profitability. And when it comes to the AD complaint filed for steel plate, can we increase the prices? We believe that the prices can be increased naturally. And of course, the AD filing naturally the price increase is not something that we should not we should be very sure of, because it could have also an impact on the upstream business as well. So I think that we can look forward to more normalization of the abnormal prices. And when it comes to negotiating prices with the shipbuilding sector, I think that this could give us an upper hand or more advantage. But as the shipbuilding sectors or shipbuilding companies did not pay taxes for the bonded areas, so the impact is also minimal as well. So everything is currently very much complicated, but the AD filing could I think will lead to increased prices. That is for sure.
Kim Jun-Hyung : Yes, are there any additional questions? If there are no further questions. I'd like to thank all the investors for participating today. And with this, I'd like to close the 2024 POSCO Holdings earnings call. Thank you.